Operator: Greetings, and welcome to the CBRE Group Third Quarter Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Mr. Steve Iaco with Investor Relations. Thank you, Mr. Iaco, you may begin.
Steven Iaco: Thank you, and welcome to CBRE's Third Quarter 2014 Earnings Conference Call. About an hour ago, we issued a press release announcing our third quarter 2014 financial results. This release is available on the homepage of our website at cbre.com. This conference call is being webcast and is available on the Investor Relations section of our website. Also available is a presentation slide deck, which you can use to follow along with our prepared remarks. An audio archive of the webcast and a PDF version of the slide presentation will be posted on the website later today, and a transcript of our call will be posted tomorrow. Please turn to the slide labeled forward-looking statements. This presentation contains statements that are forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995. These include statements regarding CBRE's future growth momentum, operations, financial performance and business outlook. These statements should be considered to be estimates only, and actual results may ultimately differ from these estimates. Except to the extent required by securities laws, we undertake no obligation to update or publicly revise any of the forward-looking statements you may hear today. For a full discussion of the risks and other factors that may impact any forward-looking statements that you may hear today, please refer to our third quarter earnings report filed on Form 8-K, our most recent annual report on Form 10-K as amended, and our most recent quarterly report on Form 10-Q. These reports are filed with the SEC and are available at www.sec.gov. During the course of this presentation, we may make certain statements that refer to non-GAAP financial measures as defined by SEC regulations. Where required by these regulations, we will have provided reconciliations of these measures to what we believe are the most directly comparable GAAP measures. Those reconciliations can be found within the appendix of this presentation or in our earnings report. Please turn to Slide 3. Participating with me today are Bob Sulentic, our President and Chief Executive Officer; Jim Groch, our Chief Financial Officer and Global Director of Corporate Development; and Gil Borok, our Deputy Chief Financial Officer and Chief Accounting Officer. Please turn to Slide 4 as I turn the call over to Bob.
Robert E. Sulentic: Thanks, Steve, and good afternoon, everyone. CBRE posted excellent results for the third quarter with more than 30% growth over prior year quarter on the top and bottom lines. Revenue gains were broad-based with double-digit increases across virtually all global business lines and in every region of the world. This kind of robust performance underscores the power of our globally integrated service offering, which allows us to create exceptional outcomes for our clients and drive long-term growth. In the Americas, our largest business segment, we posted our strongest revenue growth in more than 3 years. Every major business line showed growth in the mid-teens percentages or better, underpinned by robust leasing and capital markets activity and continued strength in occupier outsourcing. Growth also improved in Asia-Pacific. The 23% revenue increase in local currency was the best for this region since the third quarter of 2010 and was driven by stellar results in Australia and Japan. Revenue doubled in EMEA. While our acquisition of Norland last year contributed significantly to this performance, it is important to note that organic revenue growth was very strong at 19% in local currency. We continue to benefit from our increasingly integrated suite of client services across EMEA, as well as better market activity in much of the region. Strategic M&A remains a core element of our strategy. We completed 5 infill acquisitions during the third quarter, 3 in the Americas and 1 each in Asia-Pacific and EMEA, and we maintain an active pipeline of attractive alternatives. Please turn to Slide 5 which details revenue growth by line of business. Capital markets consisting of property sales in commercial mortgage servicing had a standout quarter. Q3 saw a particularly sharp increase in the U.S. Momentum in this business continues to be fueled by robust capital flows. Occupier outsourcing, which we call Global Corporate Services, or GCS, had another outstanding quarter. Organic revenue rose 18% globally over the prior year period as more large occupiers recognized the depth and breadth of integrated solutions that CBRE provides. With the added contributions from Norland, revenue from this business rose 61%. Leasing revenue rose at a double-digit clip for the fifth straight quarter. The U.S. remains the primary growth catalyst. Demand for space in the U.S. is improving in step with better economic conditions, and we are seeing significant payback from our investments in people and platform to produce -- to boost market share and enhance client outcomes. Development Services benefited from improving fundamentals, which continued to support our merchant build and fee development model. We realized gains through the sale of several development projects during the quarter, which led to significant revenue and earnings growth. Revenue declined in Global Investment Management. This decrease was expected, as we generated $30 million of carried interest in last year's third quarter, which was not repeated this year. Excluding carried interest in both periods, revenue rose 7%. More significantly, capital raising activity continued at a brisk pace. Our performance this year has been outstanding. The heart of CBRE's success is our 44,000 professionals around the world who collaborate to advance the specific business strategies of our clients. We thank them for their commitment to excellence. Now I'll turn the call over to Jim, who will provide more color on our results.
James R. Groch: Thank you, Bob. As Bob stated, CBRE continued to turn in excellent financial performance, with a 32% increase in adjusted earnings per share year-to-date, and a 33% increase for the third quarter. This is especially strong operating performance given the significant carried interest in our prior year Q3. Year-to-date, we achieved positive operating leverage in all 3 regional segments with normalized EBITDA growth of 32% versus revenue growth of 29%. This result is even after the contribution of high-growth but lower-margin revenue from Norland. The overall shift in our business mix toward more stable, recurring revenue continued to be evident during the quarter. Contractual revenue rose to 51% of total revenue, up from 48% in Q3 2013. Contractual revenue and leasing, together, totaled 76%. Property sales accounted for 18% of total revenue. Please turn to Slide 6 to review our results for the quarter. In Q3, we produced robust revenue growth of 31%. Excluding contributions from our acquisition of Norland, revenue improved 19%. Normalized EBITDA rose 30% from the prior year quarter. Adjusted EPS for the quarter increased 33% to $0.40. On a GAAP basis, EPS rose 14% to $0.32. GAAP EPS was reduced by $0.04 for expenses relating to early debt repayment and additional $0.04 for noncash amortization related to previous acquisitions. During the quarter, we issued $300 million of 10.5-year bonds at an interest rate of 5.25%. Earlier this week, we used the proceeds, along with cash on hand and borrowings on our revolver, to pay off $350 million of higher coupon 6.625% notes that were due to mature in 2020. These actions will lower annual interest expense by approximately $5 million and extend the maturity on $300 million of senior unsecured debt by 4.5 years at an attractive fixed interest rate. Normalized amortization and depreciation expense in Q3 '14 increased $10.4 million versus Q3 prior year. Our normalized tax rate was 38% in Q3 2014. We now expect the normalized tax rate to be approximately 36% for the full year. Now I will turn to our regional business segments, starting with the Americas on Slide 7. All referenced percentage increases in the region highlights will be in local currency, and all references to percentage growth will be versus the same period in the prior year. Q3 revenue growth for the Americas accelerated, hitting 20% with EBITDA up 42%. We've now logged double-digit revenue growth for 8 consecutive quarters in the Americas. Property sales rebounded strongly, with region-wide revenue increasing 27%, including a 31% surge in the U.S. CBRE took significant market share during the quarter, as U.S. market volumes in the quarter increased 19%, according to RCA. Consistent with our remarks during the Q2 earnings conference call, we caution against reading too much into quarter-to-quarter fluctuations in this business line. Leasing had another exceptional quarter. Revenue rose 18%, with the U.S. again achieving outsized gains in market share. Market conditions continue to improve steadily with office absorption reaching its highest level since 2007 and rents rising about 5% year-on-year. We are reaping the benefit of the focused investments we made over the last couple of years to attract and develop top broker talent and to enhance our operating platform to support our brokerage professionals. In Global Corporate Services, we continued to sustain a high growth rate. Growth was driven by demand from large occupiers for integrated services and by investments we have made to support the delivery of these services. Combined GCS and Asset Services revenue in the Americas increased 17%. Please turn to Slide 8 regarding EMEA. EMEA had another quarter of excellent growth. Revenue was up 95%, or 19% excluding Norland, with solid growth across most business lines. Norland revenue for the quarter totaled $216 million. EBITDA for the quarter improved 98%. Outsourcing within EMEA is benefiting from increased adoption. Combined, GCS and Asset Services revenue rose 24% without contribution from Norland. In Q2, we integrated Norland, and in Q3, our combined EMEA outsourcing business did not miss a beat as the team continued to land new clients with a more powerful integrated offering. Property sales activity continued to perform well with revenue up 30%. Strong capital flows into the U.K. were a growth catalyst. However, we are also seeing increased activity in other countries as capital migrates towards additional markets in search of yield. Growth was especially robust in Spain during Q3. Leasing revenue rose 3%, mainly driven by the U.K. despite a significant decline in France. Excluding France, leasing revenue in EMEA increased 14%. Please turn to Slide 9 regarding Asia-Pacific. Growth in this region was strong across the board. Overall revenues for the quarter rose 23%, while EBITDA increased 75%. Property sales revenue improved 56% fueled by very strong growth in Australia and Japan. Combined revenue from GCS and Asset Services rose 20%. Strong growth continued in Greater China and Japan, as well as in more established markets such as Australia and India. Leasing markets remain subdued across Asia as multinational companies are cautious about committing to new space. Nevertheless, revenue rose 8%, fueled by very strong growth in Australia. Please turn to Slide 10 regarding occupier outsourcing, which we call Global Corporate Services, or GCS. GCS continues to onboard new clients at an impressive clip, with 26 new contracts signed during Q3, one of our strongest quarters ever, and 70 signed year-to-date. The government sector was our most active vertical market, with 6 new clients. In our health care vertical, we signed 3 major hospital systems. We continued to build momentum outside of the Americas, signing 5 new clients in EMEA and Asia-Pacific. In addition, last week, we signed an expansion of our relationship with Standard Chartered Bank, and we'll be providing transaction management, portfolio services and consulting for its 15 million square feet portfolio in 72 countries around the world. CBRE pioneered this business almost 25 years ago. As we have continued to deepen and broaden our capabilities at an accelerated pace, our corporate clients are asking us to do more. The value proposition that we can deliver to them is compelling. Please turn to Slide 11 regarding Global Investment Management. As anticipated, financial results in the Investment Management business declined. No meaningful carried interest was realized in Q3 of 2014 as compared to nearly $30 million of carried interest revenue in the last year's third quarter. Excluding carried interest, revenue was up 7% driven by significantly higher acquisition fees. AUM totaled $88.6 billion. The decrease from Q2 2014 is mostly attributable to foreign -- to weaker foreign currencies, particularly the euro. In addition, the decline in REIT prices late in the quarter reduced securities AUM held in client portfolios. Our strong record of investment performance on behalf of our clients continues to attract significant new capital. We raised $2.2 billion of new equity during Q3, bringing our total for the last 12 months to $9.1 billion. Please turn to Slide 12 regarding Development Services. We realized strong growth in Development Services during Q3. Revenue plus equity earnings and net gains on real estate dispositions more than doubled to $51.8 million versus Q3 2013. EBITDA for this segment increased fourfold to $24 million. We are benefiting from our focus on developing high-quality assets in markets and sectors with significant investor demand. Closings moved between Q3 and Q4 in both directions, with a net increase of approximately $10 million in EBITDA in Q3, pulled forward from what we had expected to occur in Q4. Reflecting improved fundamentals, our pipeline rose by $1 billion over the last quarter to $2.9 billion, and projects in process totaled $5.1 billion, up $300 million from the second quarter of 2014. Our equity co-investments in the development business totaled $110.1 million at the end of Q3 2014, while our total recourse debt for this business stood at only $13.8 million. Now I'll turn the call back over to Bob for closing remarks.
Robert E. Sulentic: Thank you, Jim. Please turn to Slide 13. We enter the final months of 2014 with strong momentum across our business lines around the world. Underlying fundamentals continue to improve, and market sentiment remains positive. We continue to execute our strategy by investing in our people and platform to create value for our clients and to extend our competitive advantage in the marketplace. With 2 months left in 2014, our full year performance is coming into sharper focus. Therefore, we are raising our adjusted EPS guidance for the full year to a range of $1.65 to $1.70. We do this while being mindful of the slowing economic growth outside the United States and the challenging earnings comparison we face in the fourth quarter. As a reminder, we generated approximately $58 million of EBITDA from carried interest in Q4 last year. With that, operator, we'll open the lines for questions.
Operator: [Operator Instructions] Our first question is from Anthony Paolone with JPMorgan.
Anthony Paolone - JP Morgan Chase & Co, Research Division: In terms of your guidance, can you talk about how much of the change was driven by just core performance versus, say, incremental, either carried interest or promotes or whatnot?
Robert E. Sulentic: Yes, Anthony, this is Bob. The -- what we did was we looked at the performance in the third quarter, and we adjusted based on that. We already had a relatively optimistic view of what would happen in the fourth quarter. And so to answer your question directly, the incremental guidance that we gave was due to the performance of our core service business.
Anthony Paolone - JP Morgan Chase & Co, Research Division: Okay. So if I look at the equity and income from unconsolidated subs, you have $43 million. How much of that was kind of the carry that, I guess, like in your slide deck you're showing as part of Investment Management. I'm just trying to reconcile, like, how much carry in total or gains in total were in the quarter.
Gil Borok: Yes, Anthony, it's Gil. It's about half.
Anthony Paolone - JP Morgan Chase & Co, Research Division: Okay. And that -- but again, just to make sure I understand Bob's comments and how they tie, that was contemplated in the prior guidance already.
Gil Borok: That's correct.
Anthony Paolone - JP Morgan Chase & Co, Research Division: Okay, got it. A question on Investment Management because it seems like you guys have pretty consistently been raising capital, but the AUM's been flattish. And I understand you have assets that you sell and so it nets out. Just wondering as you look forward, do you get over the hump in terms of asset sales and start to see sort of the capital raising net out to kind of grow AUM? Or how does that shape up?
Robert E. Sulentic: Well, first of all, Anthony, in the third quarter, what you saw hit the AUM was overwhelmingly FX in Europe. So that was the lion's share of it. We've had a good year for capital raising, $9 billion in the last 12 months. We believe that we're going to have success in deploying that capital. So we expect over the next year that we'll see gains in AUM. Now again, with something like FX, we have no control over that at all. So that could impact it, but we -- net of that, we expect to see AUM go up. And as you know, we have sold a lot of assets, $10 billion in the last year plus.
Anthony Paolone - JP Morgan Chase & Co, Research Division: Right. And I guess that's what I'm trying to size up, like, if you think about the $9 billion that you raised, if you put it to work over the next, I don't know, year or so, I guess, how much of that do you think we'll see, putting aside the FX, like, how much do you think we'll see kind of net out in AUM?
Robert E. Sulentic: Well, we're not predicting the amount of AUM that it will grow specifically, but we're expecting AUM to go up.
Anthony Paolone - JP Morgan Chase & Co, Research Division: Okay. And then in investment sales, it was really a strong quarter. I'm just curious if you could put some color around either the types of product that drove the growth, like, was it small buildings, big buildings? Because I think it's tough for us sometimes when we look at the data out there points us in one direction but doesn't always tie to kind of how you guys do. So I'm just curious if you could put some color around it.
Robert E. Sulentic: Well, it was -- there was sales from product types and product ties across the board, but we did have a very good quarter in terms of selling large assets, office buildings in New York, a big multifamily portfolio. So it was a strong quarter. And we -- if you remember, we talked about that little bit in the second quarter. You just can't read too much into any one quarter in this business. We didn't see a lot of that big asset harvest in the second quarter. We had a particularly good third quarter in that regard, and that's what you saw.
Operator: The next question is from Brad Burke of Goldman Sachs.
Bradley K. Burke - Goldman Sachs Group Inc., Research Division: I wanted to ask about your comment on slowing economic growth outside the U.S. Can you elaborate on whether you're starting to see any of that show up in a meaningful way in your businesses?
Robert E. Sulentic: Well, when we comment on that, Brad, we're talking about what everybody's seeing in EMEA, some slowdown in some of the economies there, Germany notably. We are not seeing that in our businesses. We have a strong, large business in EMEA, and it's performing quite well, obviously, growing well. We're -- like everybody else, we're watching to see what happens, but as of right now, we have a lot of confidence in how that business will perform for the rest of the year. Obviously, when you talk about Asia-Pacific, you see a little bit of that pressure on the economy in China and, as a result, Australia with the slowdown in natural resources. But again, it hasn't come through into our business. It's something we're watching, but we remain confident on how those businesses will perform for the balance of the year.
Bradley K. Burke - Goldman Sachs Group Inc., Research Division: Okay. Okay, that's helpful. Wanted to ask about uses of cash, because, presumably, you could have repaid the debt that you took out this quarter, just with cash flow from operations. So one, does this assume that you're comfortable right now with where your leverage is at? And then two, could you give us an update on how you're thinking about uses of cash over the next 2 to 3 quarters?
James R. Groch: Brad, this is Jim Groch. Brad, I would say no real change on our point of view currently around the use of cash, which is that, largely over time for the last few years, we've been using cash to fund M&A activity, and we are comfortable. Directly to your point, we are comfortable. As you know, our net debt-to-EBITDA ratio is at 1.5, and we are comfortable with that.
Bradley K. Burke - Goldman Sachs Group Inc., Research Division: Okay. And could you comment on how you're seeing the acquisition pipeline as it stands?
James R. Groch: It remains quite strong.
Bradley K. Burke - Goldman Sachs Group Inc., Research Division: Okay. And then the last one for me with Development Services. Obviously, a strong quarter and the pipeline saw a pretty big increase versus the second quarter. How should I think about the timing of translating your development in process in your development pipeline to eventually showing up in your EBITDA?
James R. Groch: Brad, it's hard to give you a specific rule of thumb on that, to be honest, just because the nature of the projects vary considerably. We qualify a project in the pipeline as having -- it's met a few conditions, and it's greater than 50% probability of becoming an in-process deal. And so we show the pipeline and the in-process separately, and then over time, you'll see things effectively move from pipeline into in-process. But it can -- I would say, on average, would be anywhere at a low end of 12 to 18 months to 3 or 4 years.
Operator: The next question is from Brandon Dobell of William Blair.
Brandon Burke Dobell - William Blair & Company L.L.C., Research Division: Guys, have you heard from your capital markets or mortgage brokerage guys any sense from customers or potential customers that they're trying to get things done in anticipation of some sort of move higher in rates at some point in the spring or summer of next year? Is that mindset impacting the velocity of transactions either for investment sales or for debt origination?
Robert E. Sulentic: In general, we're not seeing that, Brandon. I think the consensus view is that if rates go up a bit, it's going to be indicative of improving economies. Fundamentals are getting better, as you know. Vacancies are declining. Occupancies are increasing, obviously, if vacancies are declining. Lease rates are going up. So I don't think there's a lot of concern, and I think the anticipation of some increase is kind of baked into people's underwriting at this point.
Brandon Burke Dobell - William Blair & Company L.L.C., Research Division: Okay. Then taking a step back and kind of market growth rate-wise, as you look out the next handful of quarters for investment sales and leasing, should similar growth rates in the past couple of quarters for the markets, do you think those are sustainable? Or is the macro risk going to put a significant amount of pressure especially on leasing growth rates relative to what you've seen the end markets grow at the past 3, 4 quarters?
Robert E. Sulentic: I'll comment on leasing. Jim, you might want to do the capital market side or the investment sales. We've, throughout the course of this year, performed on the leasing side better than we expected and better than market. Part of what you see there is we've had -- last year, we had a particularly good year in recruiting. We've had another good year in recruiting this year. We've switched out some less active producers for more active producers, and we've done some things to support our brokers that we hadn't done historically. So our leasing performance has been a little bit out ahead of the market. We think we can sustain a market-exceeding performance. We don't have any reason to believe that leasing is going to get dramatically better in the market than it is now. Now if the economy really picked up in Europe, it would get better because, as you know, leasing isn't doing much there. It's pretty flattish. But we don't see any reason to believe leasing is going to pick up a lot in general.
Brandon Burke Dobell - William Blair & Company L.L.C., Research Division: Okay. And as you guys think about headcount additions, lateral hires, are you finding that people have elevated expectations for what it's going to take to pry them out of a peer or a competitor, or are you having to step up to keep your good people with more money than you thought you would at this point in the cycle?
Robert E. Sulentic: The recruiting? Brokerage is in fact getting more competitive, as it always does at this point in the cycle, and we're noticing that. We've had really good success this year. A big part of the ability to recruit brokers is the platform that we bring them into, the customer base you have, the tools you have to support them with, et cetera. So that's -- and we've escalated our investment in brokerage support over the last couple of years, and it's helping us. But there's no doubt that the recruiting environment is getting more competitive, a little more expensive.
Brandon Burke Dobell - William Blair & Company L.L.C., Research Division: Okay. And then final one for me. As you guys look at the, let's call it the synergies around Norland, but, I guess, more appropriately, getting them into existing contracts that you've had for a while with customers. How long should we expect it to take you guys to get Norland or the Norland services ported over to existing relationships where you're having to subcontract those services, those competencies to somebody else besides Norland? Are we talking a year, 2 years, 3 years?
James R. Groch: Brandon, the -- I would say a couple of things. One, as we noted on the call just a few minutes ago, the integration with Norland with our Corporate Services business in EMEA, which just happened this past quarter, went really well. That whole business is rolled within the Norland group now, and there are a variety of opportunities. But first and foremost, I would say, the existing business that we have has continued to grow. Norland grows at a very nice clip, so it's very active. There's a lot of pursuits, and you've seen our revenues in that business grow at a considerable clip, and continue to do so. Likewise, Norland's own business, that client base, continues to grow at a considerable clip. And so there's quite a bit to mine there in existing areas of focus and now kind of having a deeper offering to go after the larger clients together. In addition to that, there's some of the opportunities that you mentioned, but -- and they're already happening. But frankly, the bigger opportunities are the ones that I just [indiscernible].
Operator: The next question is from David Ridley-Lane of Merrill Lynch.
David Ridley-Lane - BofA Merrill Lynch, Research Division: So there was a pretty sizable step-up in the commercial mortgage brokerage business. I think you had talked last quarter about that being modestly down for the year, and I wanted to see if you had an update on your expectations for that service line for 2014?
Gil Borok: We still think it's going to be flattish to last year on a full year basis.
David Ridley-Lane - BofA Merrill Lynch, Research Division: Is there any kind of color you can give on the spike here in the third quarter?
Gil Borok: Yes. So on the third quarter, there was -- there are 2 lender types that we work with, right? Traditional lender banks, the like, and then the government-sponsored entities, and in the government-sponsored entity side, we will get servicing right gains, where we get to recognize those. They don't exist on the traditional side. And it's a matter of mix. So the mix shifted a little bit more to the GSE lenders this quarter than what we had, a)expected, and b)seen in Q2.
David Ridley-Lane - BofA Merrill Lynch, Research Division: Got it. And then I know it's also a small service line, but the Appraisal & Valuation, I think you had talked about being kind of flattish in 2014, and also had a very nice growth in the third quarter. So update on your expectations for that service line this year.
James R. Groch: Yes, David, this is Jim. It has picked up a little bit in Q3. It was -- but still relatively flat without some incremental contribution from acquisition of PKF.
David Ridley-Lane - BofA Merrill Lynch, Research Division: Oh, there's an acquisition in there?
James R. Groch: Yes. But the base business itself has picked up a bit. So where we thought it's going to be down for the year, it's actually picked up, and it's closer to flat year-over-year without the benefit of an acquisition.
David Ridley-Lane - BofA Merrill Lynch, Research Division: Got it. Okay. And then a little bit of...
James R. Groch: And that's with regard to the Americas. Outside of the Americas, that business is growing quite nicely.
David Ridley-Lane - BofA Merrill Lynch, Research Division: Quite nicely. Okay. And then a bit more of a theoretical question for you. There are a couple of large U.S. retailers facing particularly difficult conditions, and so we could see some widespread store closings, or perhaps these companies may enter a restructuring. There's a lot of malls that could be losing anchor tenants. And I was just kind of curious, first, how much exposure do you have into U.S. retail and the capital markets and leasing services? And then second, how have you worked with large-scale bankruptcies in the past, say, a Circuit City or a Borders?
Robert E. Sulentic: Well, David, first of all, we have a nice sized retail business. It's growing nicely. But it's not -- the loss of the client -- by the way, the companies that are subject to problems may or may not at any given time be a client of ours. But in general, the loss of a client or 2 wouldn't be material to our overall numbers and just as likely would result in new opportunity to re-lease the space that opened up, so on and so forth. So that kind of circumstance is not a major concern for us.
Operator: The next question is from Mitch Germain of JMP Securities.
Mitchell B. Germain - JMP Securities LLC, Research Division: You guys seeing any pricing pressure in the Global Corporate Services business?
Robert E. Sulentic: All our businesses are competitive, Mitch, but the Global Corporate Services business is a very sophisticated, integrated cell today, and we have seen steady margins in that business for several years now.
Mitchell B. Germain - JMP Securities LLC, Research Division: Okay. And then, Bob or Jim, I can't remember who answered the question about acquisitions, and I might have missed the question and the answer, but have there -- has the pricing expectation changed based upon some of the deals that we've seen close at some pretty attractive EBITDA multiples?
Robert E. Sulentic: We closed 5 infill acquisitions this quarter, and they've all -- they were all within our standard pricing structure. I would say on some of the larger transactions, we are seeing some pricing pressure, and we're just having to be more selective. So, in a couple of recent acquisitions, we just passed early on. But there's enough opportunity out there that you can be disciplined and maintain the type of pricing we've referenced in the past.
Operator: We have no further questions at this time. I would like to turn the floor back over to management for any closing remarks.
Robert E. Sulentic: Okay. Well thanks, everyone, for joining us, and we look forward to discussing our year-end results with you in about 90 days.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time, and thank you for your participation.